Operator: Good morning, and welcome to FB Financial Corporation's Second Quarter 2025 Earnings Conference Call. Hosting the call today from FB Financial are Chris Holmes, President and Chief Executive Officer; and Michael Mettee, Chief Financial Officer. Also joining the call for the question-and-answer session is Travis Edmondson, Chief Banking Officer. Please note FB Financial's earnings release, supplemental financial information and this morning's presentation are available on the Investor Relations page of the company's website at www.firstbankonline.com and on the Securities and Exchange Commission's website at www.sec.gov. Today's call is being recorded and will be available for replay on FB Financial's website approximately an hour after the conclusion of the call. [Operator Instructions] During this presentation, FB Financial may make comments which constitute forward-looking statements under the federal securities law. Forward-looking statements are based on management's current expectations and assumptions and are subject to risks, uncertainties and other factors that may cause actual results and performance or achievements of FB Financial to differ materially from any results expressed or implied by such forward-looking statements. Many such factors are beyond FB Financial's ability to control or predict, and listeners are cautioned not to put undue reliance on such forward-looking statements. A more detailed description of these and other risks that may cause actual results to materially differ from expectations is contained in FB Financial's periodic and current reports filed with the SEC, including FB Financial's most recent Form 10-K. Except as required by law, FB Financial disclaims any obligation to update or revise any forward-looking statements contained in this presentation, whether as a result of new information, future events or otherwise. In addition, these remarks may include certain non-GAAP financial measures as defined by SEC Regulation G. A presentation of the most directly comparable GAAP financial measures and a reconciliation of the non-GAAP measures to comparable GAAP measures is available in FB Financial's earnings release, supplemental financial information and this morning's presentation, which are available on the Investor Relations page of the company's website at www.firstbankonline.com and on the SEC's website at www.sec.gov. I would now like to turn the presentation over to Mr. Chris Holmes, FB Financial's President and CEO.
Christopher T. Holmes: All right. Good morning, Betsy, and thank you to everyone for joining us on the call this morning, and thank you for your interest in FB Financial. For the quarter, we reported EPS of $0.06 and we -- and adjusted EPS of $0.88. We've grown our tangible book value per share, excluding the impact of AOCI at a compound annual growth rate of 12.2% since our IPO. The second quarter turned out to be a very busy quarter at FirstBank and across the industry. At FirstBank, the quarter began on the heels of our merger announcement with Southern States on March 31. The very next day, our teams hit the ground running, and we quickly deployed our integration working group, began the regulatory application process and started mapping out systems, processes and people across the 2 organizations. I'm particularly proud of the teams from both companies and their responsiveness and ability to execute in such a short period of time -- in such a short time frame. Within approximately 90 days, we announced the merger, applied for and received regulatory approval and legally closed the transaction. In addition to closing the transaction, we put ourselves on track to fully convert systems, rebrand locations and markets and integrate teams by the end of Q3. During this quarter's execution, we're also very diligent about continuing to update our acquisition playbook. So we're compounding knowledge from each transaction. We're set up very well to continue to pursue opportunities like the one with Southern States. Simultaneously to the efforts on the transaction, April 2 brought some major news from -- for global economies and markets and our communities. Policy announcements out of Washington, the Liberation Day began impacting trade policy and financial markets with the announcement of reciprocal tariffs across a broad range of goods and impacting a host of nations that trade with the U.S. Financial markets saw increased volatility on the news, and we began reviewing and dissecting customer profiles to identify those that might be impacted by these policies. As the U.S. engaged in trade negotiations and made announcements of tariff delays and newly negotiated deals, we saw increased speculation in markets and volatility during the quarter. Today, it seems like the financial markets have digested this activity along with other geopolitical events and have become a bit more optimistic on the path forward. And our view matches that optimism. As I stated in the last quarter, whether we're faced with prosperity or uncertainty, we stick to our core beliefs and our mission remains to build a better future for our customers, associates, communities and shareholders. History shows that times of uncertainty or change bring the greatest opportunities, some of the greatest opportunities for success. For those that are disciplined and prepared, our teams are smart and capable. Our foundation is solid and our geography is favorable. It's because of these things that we have confidence regardless of the economic conditions or financial landscape. In the midst of quarter filled with distractions and heavier workloads across our executive, administration, administrative and operational teams, at the front line, we were still able to deliver a solid quarter of operating results. In addition to the activities I've acknowledged, we also executed a significant securities transaction in the quarter, selling approximately $266 million of our investment securities at a pretax loss of $60 million. The impact of this transaction is seen in our GAAP -- throughout our GAAP results for the quarter, where we reported pretax pre-provision net revenue of a negative $4.4 million and net income of $2.9 million. On an adjusted basis, which primarily emanates with the onetime events like the securities trade, our pretax pre-provision net revenue was $58.6 million, which was a PPNR ROA of 1.81% and net income of $40.8 million. During the quarter, we grew both sides of the balance sheet on a period ending basis. We grew loans at an annualized rate of 4.2% and deposits at an annualized rate of 7.2%. The growth numbers, while better than most, we consider to be pedestrian, but we continue to be optimistic about the second half of '25 and 2026 given the economic outlook, market strength and pipeline activity. Our annualized growth through the first 6 months of the year was 5.6% in loans held for investment and 3.4% in total deposits, and we remain on track for the mid- to high single-digit growth targets we have for ourselves. As I look forward to the second half of the year into 2026, I'm very bullish on 3 key areas for the company: our earnings profile, our growth prospects and our balance sheet strengths, all of which enable us to grow value for our shareholders. First, on our earnings profile, in the near term, the transaction with Southern States adds immediate scale and accretive earnings to the company. And with our speedy deal execution, we'll begin to see positive impacts from the deal in the third quarter. In the long term, this deal strengthens our franchise in key cities where we operate today, principally Birmingham and Huntsville, while also expanding our franchise contiguously into new markets in Georgia and Alabama, where these markets -- these markets -- these new markets actually include a number of communities with strong growth prospects benefiting from their adjacency to metro Atlanta. Additionally, this quarter's securities restructure transaction further adds to our earnings momentum for both the second half of 2025 and '26. Secondly, our growth prospects. Growth is one of the foundations of success in banking and it broadly comes in 2 forms, organic and inorganic, and we're bullish on both forms. Organically, our markets continue to present us with opportunities to hire talented professionals and grow our new relationships. We also see opportunities on the horizon to capitalize on market disruption coming from upstream M&A activity across the industry. These put us in an enviable position. Inorganically, we're in a favorable position to see additional opportunities similar to the deal we just closed in July -- earlier this month. And finally, we continue to be in a solid position on capital, liquidity and credit. As a result, we're able to be on our toes and playing offense at a time when competitive market forces remain challenging to navigate for banks. The regulatory environment is reasonable and bank valuations could get closer to historical levels. We think these conditions present opportunities, and we're excited about those possibilities. With that, I'm now going to turn it over to Michael Mettee, our CFO, to provide a deeper look at our financial results for the quarter as well as commentary around our guidance going into the second half of the year. Michael?
Michael M. Mettee: Thank you, Chris, and good morning, everyone. As Chris mentioned, it's been a busy quarter at FirstBank. I'll take a few minutes to walk through this quarter's earnings, and then I'll provide some forward-looking commentary on the second half of the year. Net income on a reported basis for the quarter was $2.9 million or $40.8 million on an adjusted basis, the large disparity being the securities loss that Chris referenced earlier. On net interest income and margin, we reported net interest income of $111.4 million, which represents a 3.5% increase from the prior quarter and an 8.6% increase from the same quarter last year. On a tax equivalent basis, we expanded our margin by 13 basis points in the quarter from 3.55% to 3.68%. We achieved this through a mix of loan growth and the cost of funds management, namely through managing down higher cost nonrelationship-based deposits. And on a dollar basis, we also benefited from an additional day in the quarter. In noninterest income, we reported a loss of $34.6 million, and that's a result of the $60 million securities trade. Absent the loss, our core noninterest income was $25.8 million, which represents a 9% increase over last quarter and an 8% increase over the same quarter last year. These gains were led by stronger swap fees, higher mortgage banking revenue and a number of other increases across our fee categories. On the security sale, we decided to sell a group of securities that were earning 1.6% or so in aggregate. And we'll do a couple of things with those proceeds. First, we'll look to redeem our sub debt and our trust preferreds in the third quarter. And second, we'll retain the remaining capital and cash as a way to sort of front-run our loan growth needs going into the second half of 2025. Towards the end of June, new loan yields were coming in north of 7%. So all in, we estimate this transaction and our planned deployment of funds to give us a yield pickup of approximately 6% with a payback period of less than 4 years. Looking at expenses. We reported total noninterest expense of $81.3 million or $78.5 million on an adjusted basis. Our reported number includes $2.7 million of merger and integration costs, and you can expect to see that line item peak in the third quarter as we've now closed the transaction and will soon convert and integrate Southern States and FirstBank systems onto unified platforms. On an adjusted basis, our core efficiency ratio improved to 56.9% from last quarter's 59.9% and the same quarter last year where we reported 58.3%. Last quarter, we had some seasonal HR-related expenses for stock compensation, and those did not repeat this quarter. This was partially offset by increased salary expense for the first full quarter of annual merit and increased headcount production-based roles within the organization. Moving on to credit. I first want to highlight, and you'll see them mentioned in our deck that we migrated to a new allowance model during the quarter. Our new model is designed to increase the granularity of our inputs, improve the precision of our forecast and enhance our ability to review and challenge modeled results. We'll account for this change in estimate, and you can expect to see the disclosures effect in our 10-Q filing in August. While there were some movements between the underlying components, in the aggregate, the model change had a net impact to the company's reserves of approximately $395,000. Provision expense for the quarter was $5.3 million, which includes the $395,000 for the model change. The remaining amount was driven by loan growth in the quarter, along with updated forecast assumptions in the model. The ending balance of the allowance for loan losses was $149 million or 1.51% for our loans held for investment balance compared to $151 million or 1.54% last quarter. The ending balance in the reserve for unfunded commitments was $12.9 million, and the increase was largely driven by the model change. Charge-off levels were muted this quarter as we reported $481,000 in net charge-offs or an annualized net charge-off rate of about 2 basis points. Nonperforming loan balances did increase this quarter as we had 3 large credits migrate into that classification. We've been monitoring these credits for a few quarters now. Each is well secured, and we believe the loss content within each of those to be negligible. To close out my commentary on the income statement, I'll take a minute to touch on taxes for the quarter. This quarter, our total tax number was a benefit driven by a few key components. First, our reported pretax income figure for the quarter was negative as a result of the $60 million securities loss that I previously touched on, which created a tax benefit. Second, we had a onetime tax benefit of approximately $10.7 million in our tax line related to the statute of limitations expiring on an amended tax filing. The filing was handled properly and in a timely manner by the company, but ultimately was not accepted by the IRS, resulting in the return of funds to the company. In total, the return amount was $8.7 million. And additionally, we released $2 million in accrued interest on the previously owed amounts, which we released through tax expense upon the closure of the matter. Looking at the balance sheet, we did see both loan and deposit growth during the quarter on an ending balance basis, but we expected more. As Chris outlined, this quarter did bring unexpected macroeconomic headwinds. And as a result, we did see a number of deals in our pipeline get pushed in the second half of 2025 as many customers took a temporary wait-and-see approach to the uncertain and volatile market conditions. Loan growth in the quarter was concentrated within residential mortgage buckets as 1 to 4 family and lines of credit increased $56 million in aggregate as well as commercial real estate nonowner-occupied balances, which increased $45 million. On deposits, we saw an uptick in both noninterest-bearing and money market accounts as our community and metro banking teams continue to focus on growing relationships across the footprint and broker deposits were up in the quarter, which was largely a product of our liquidity management strategy. And interest-bearing checking was down as we deliberately managed down a pool of higher cost non- relationship deposits. Looking at average balances in the quarter, we did see the balance sheet shrink as we saw a decline in both total assets and total liabilities, primarily due to the timing of balance movements within the quarter. Averages were impacted by the deliberate runoff of higher cost deposits that I just mentioned, which also drove the average balance decline in cash. Conversely, ending balances were impacted in large part by a large short-term public funds deposit that we retained in cash due to its short-term nature. Also reflected in cash were the proceeds from the security sale, which we'll deploy in due time. Both of those transactions took place right near quarter end. All right. So I'll take a moment to provide some thoughts on full year '25. With the completion of the Southern States merger on July 1, our view going forward will be on a combined basis. And obviously, we'll be working through some combination in the most efficient, effective way possible. So the timing of the levers we're pulling may vary as we get into conversion. On net interest margin, we expect our net interest margin to be in the 3.70% to 3.80% range in the back half of the year. That includes the reinvestment of proceeds from the security sale this quarter and the incorporation of Southern States' balance sheet. The team at Southern States obviously was also very busy in the quarter, and they restructured their investment portfolio using the funds to pay off wholesale and broker deposits and optimizing capital treatment associated with their investment portfolio. The remaining proceeds from the investment sales will be utilized in the combined company to reinvest into loan growth. In noninterest income, we expect to see modest growth across various lines as we remain focused on increasing total relationships. And from a noninterest expense standpoint, we continue to have confidence in our modeled cost saves that equate to approximately 25% of Southern States' annual noninterest expense. As a result, our banking noninterest expense should land between $285 million to $295 million for the full year '25. On a combined FirstBank and Southern States basis, we anticipate our core banking efficiency ratio to be in the low 50s by the fourth quarter and achieve our targeted 50% efficiency ratio in 2026. Southern States stand-alone efficiency ratio is historically lower than ours. And in the near term, we'll also begin to see the benefits of deal synergies that we previously modeled. Simultaneously, in our legacy FirstBank franchise, we continue to drive our teams toward internal expense goals, which are more aggressive than some of the outside expectations. Acknowledging that we did have extra noise in our tax line item this quarter, I want to reiterate a forecasted effective tax rate in that 21% to 23% range for the remainder of the year. On the balance sheet, we'll continue to -- with our strategy of working down noncore high-cost deposits, which will weigh on our average earning assets and by year-end, will be offset by core loan and deposit growth. And then finally, on capital and liquidity, we'll continue to deploy our excess capital in meaningful ways to drive shareholder value while continuing to maintain a safe and sound position for our company. And with that, I will pass the call back to Chris.
Christopher T. Holmes: All right. Thanks for the call, Michael. And as you just heard, we did have a lot of moving pieces in the quarter. Even with the added layers of various onetime items, our team was able to deliver strong core earnings, all while preparing for the closing of a large transaction. I'm proud of the way our team was able to walk and chew gum this quarter, and you'll continue to see that versatility from our team as we move forward. Thank you again for your interest in FB Financial. And operator, at this time, we open it for questions.
Operator: [Operator Instructions] The first question today comes from Catherine Mealor with KBW.
Catherine Fitzhugh Summerson Mealor: My first question was just to circle back on your margin guide of the 3.70% to 3.80%. So just kind of thinking about how I model the balance sheet going into next quarter. So it looks like you said from SSBK, you've restructured or sold most of that bond book. And then, of course, we'll have the reduction in securities from your own restructuring this quarter. So is it fair to say in terms of bonds, like we shouldn't bring over basically any securities from SSBK and then model kind of reduction from the bond sale and then all those proceeds are going to lower borrowings and then up until loan growth. Is that an appropriate way to think about that?
Michael M. Mettee: Yes, that's right, Catherine. And we're bringing over virtually no -- nothing from the investment portfolio other than the small slug of held to maturity that we're moving to AFS. Keep in mind, their investment portfolio had a yield of around 4.40%, which is basically where it's sitting in cash. So it's much more about paying down brokered. The risk weighting on the investment portfolio was a little bit higher than we typically have at FBK. And so there was some capital optimization. And then over the back half of the year, pending the timing on loan growth is where we'll deploy the rest of those funds and ours.
Catherine Fitzhugh Summerson Mealor: Okay. That's great. And then on loan growth, can you talk a little bit about -- you reiterated the mid- to high single-digit growth. Can you just talk a little bit about the pipeline? And I know, Chris, you mentioned a few credits that you thought would close in the second quarter but got pushed to the back half of the year. Are these still credits that you think will fund? It's just kind of a timing thing? Or just would love to hear just kind of your commentary on what your clients are doing right now.
Christopher T. Holmes: Yes. So we continue -- we really haven't changed our outlook from conversations that we've had with either on previous calls or with different times we've met with investors during investor meetings. We still think we're kind of a mid- to high single digit. Quarters -- as you all know, I mean, quarters come with a cutoff. And on any given day, if you cut it off with the different 5 days later or 5 days earlier, the numbers are going to look different when you're comparing period ending balances. So we did have a few things. We had a payoff or 2 in the quarter that was -- that were high, not unanticipated. Again, you're just not sure when they're going to come and they're pretty big dollars. But then also -- and so that's not unusual. And the same way on some fundings. So we did see a little bit of activity push where folks are just not quite as anxious to close it as maybe they would have been 12 months ago or maybe not 12 months ago, too bad, let me put it this way, in December or January, about that. And so they don't mind if it delays a little bit. But in general, we're still seeing good customer activity. Customers feel good about -- again, generalizing, generally feel good about continuing to move forward with business and projects.
Travis K. Edmondson: Yes. Catherine, this is Travis. I would agree with Chris. And what I would say to supplement that is our activities are actually -- were very strong in the second quarter as far as new loan originations. What we didn't anticipate was some of these payoffs that Chris alluded to. We expected them eventually, but not in the second quarter. And our pipeline remains strong. What we can't forecast and what we're trying to just understand is -- are the payoffs going to continue at a more rapid pace than they have historically.
Catherine Fitzhugh Summerson Mealor: Great. And that was encouraging, Michael, that you said that you're still getting new loan yields over 7%. That's correct. Is that -- that was the number you gave?
Michael M. Mettee: Yes, that's right. And we've actually seen tick up slightly higher in July. So the yield curve is an interesting dynamic. It changes, as you know, every 30 seconds. So doesn't look like a whole lot of relief for longer-term rates. We'll see what happens on the short end, but the team is doing a good job. And of course, Southern States team traditionally has had a higher-yielding portfolio as well. And so we're pretty optimistic.
Operator: The next question comes from Brett Rabatin with Hovde Group.
Brett D. Rabatin: I wanted to start on the mortgage banking numbers and the commentary or the higher provision this quarter and the comment in the slide deck about some higher LTVs making a provision for those. Can you elaborate a little bit further on the provision for mortgage in 2Q? And just also wanted to hear if the change in the ACL, if that was driven by anything in particular?
Michael M. Mettee: Yes, Brett, good pickup there. So the beauty of the new model, right, is we get more granular in some of our loan portfolio that the previous version, right, economic model through Moody's versus where very good model is now discounted cash flow. And so we split out our higher LTV residential mortgage portfolio from our traditional 1 to 4 in the modeling. And so a couple of things, right, this quarter. If you looked at -- we still use the Moody's forecast plus Bloomberg, plus a couple of others, MBA. And you see home price appreciation is kind of flatlined as we're kind of experiencing -- I know you're here, you see that across the country, home price flatlined. And then the unemployment forecast ticked up kind of really the back half of the year. And so those are 2 main drivers around the high LTV portfolio and that you can see losses start to escalate. And so that's what that additional reserve was in mortgage banking. We want our mortgage team focused on pre-provision net revenue and profitable operating business. Obviously, you don't want to put a bunch of loans on the books with loss content, but these are older 100% loans that we did in the last 3 to 4 years, you aggregate over time. So that was kind of the modeling difference there. We didn't add a bunch of 100% loans in the second quarter that created a lot of reserve.
Brett D. Rabatin: Okay. That's helpful. And then, Chris, I assume you anticipated this question, but you sound pretty optimistic on continued activity in bank land for M&A. Any updated thoughts maybe on how you see the environment playing out for you guys, and you're going to be closer to $20 billion post SSBK -- just trying to frame the size spectrum for what you might be interested in from here.
Christopher T. Holmes: Yes, Brett, I can give you just a few thoughts on kind of where we see it going from here. There was a transaction announced yesterday. And I think you're going to see a lot of activity across the deal spectrum. That was a category for a bank. And so I think you're going to see a lot of activity across the deal spectrum. I think that's positive for the industry. I think it's positive for multiples. And so then you come down to what does that mean for us. I think a couple of things. You referenced $20 billion. The transaction we just did with Southern States, I think, is important because it gives us a some more scale post $10 billion. So we felt like we needed to get to $16 billion, $17 billion to really begin to get the returns that keep us happy with ourselves and generally keep shareholders happy as well. So if you look at and forecast our numbers, you'll see that now we're in an ROA that's going to be somewhere in the, we'll call it the 1.4-ish range. And so that feels pretty good. But -- and so we think at $20 billion plus, there's a lot of room to run. And so we think we've got a lot of potential to do transactions like we just did. So I'll say in the $3 billion to $5 billion, $6 billion, $7 billion range in terms of total assets. There aren't -- most of the -- there are a lot more opportunities in the $3 billion range than there are in the $6 billion or $7 billion. And so that -- I'd say there's probably going to be more opportunities and probably more activity both for us and the industry there. And then if bigger things come along, then we're all obligated to think about those and we think about how we move forward with an opportunity that's north of that. And so -- but then the part I would add that is maybe a little more specific to FirstBank is we do think, particularly in just in our market, we're well situated to take advantage of upstream activities that could occur. And so as again the really larger banks continue to shape their strategy and make moves, we think we're sitting in a great position to be able to take advantage of that organically. So again, that being another tailwind. So that's where we'll be focusing is on make sure we're prepared for the organic opportunities that come from disruption upstream and continuing to do things similar to what we did with Southern States downstream.
Brett D. Rabatin: Okay. That's helpful. If I could sneak in one last one on a related topic. Any update on what you guys are doing organically from a hiring perspective? Just what quarterly trends might have been in terms of pickups of banking associates?
Christopher T. Holmes: Yes. In terms of the actual changes in banking associates, I'll say this. I'm not sure. Travis, I'm going to let Travis and Michael comment on the numbers there. But we continue recruiting efforts, again, thinking about potential disruption coming down the line, we just continue to try to make sure that we are the right landing place. Again, in a lot of our markets, we're large enough to have a large balance sheet to be able to accommodate really successful experienced bankers that have larger clients, but we're also nimble enough to -- and with our community focus, we're able to actually take advantage from some of the smaller folks in our geography too.
Travis K. Edmondson: Yes. And just from a pure number standpoint, Brett, we hired 4 new revenue producers in the second quarter.
Operator: The next question comes from Russell Gunther with Stephens.
Russell Elliott Teasdale Gunther: Maybe just starting on the margin. It would be helpful to get a sense as to the puts and takes between the low and kind of high end of that guide. Helpful to get a sense of whether you guys are contemplating any rate cuts in there as well as the ability to continue to lower deposit costs from here should those rate cuts not materialize? And then Michael, any thoughts on sort of where the securities yield may kick things off in 3Q given the actions taken both here and at SSBK.
Michael M. Mettee: Yes. Russell, so we've been pretty steadfast in our rate forecast from a Fed funds perspective, we've had 2 in all year. They've been in September and December. So we haven't changed that mainly because I'm not smart enough to know when they're actually going to come. So that's where we've been and who knows what actually happens there. I think we'll continue to ebb and flow as the winds blow, I guess, externally. That being said, our -- we do have index deposits to Fed funds. So the day that those -- that they do get cut, if they do get cut, we would see roughly 35%, 40% of our deposits reprice lower. So -- and that's consistent with where we have been in the past. We are seeing some higher cost -- there's still people out there earning high-cost deposits. And so we're still trying to grow. So you can see some pressure on margin as our loan growth accelerates. Typically, when you're dealing with what we call take it business, you got to go take it from somebody else. Part of it is you pay up a little bit while you earn their operating accounts. And so team is doing that, and we're working hard at it. And so that's why there's probably a broad range in NIM guidance, plus you layer on both companies in the balance sheet and then we work through organizing that in the most efficient way possible. And then the guidance on the investment portfolio. We're still working through a good bit of that. The transaction happened really late in the quarter. And so how we reinvest, what that looks like, we're going to go mostly in the loans, but paying off sub debt and trust preferreds will be the focus in the short term. And then really, you're taking on our side, $266 million at roughly 1.6% just straight out of the number of both the numerator and denominator, I guess, the denominator. So you'll see a subsequent yield increase incremental on that side.
Russell Elliott Teasdale Gunther: Got it. Okay. Very helpful. And then you just mentioned kind of deposit cost competition as loan growth accelerates. You guys are talking about kind of mid- to high single digits. I also think characterize this quarter's results as pedestrian. So I guess how should we think about you guys kind of bigger picture going forward? Is it mid- to high on this size of the balance sheet going forward? Can you sustainably be in the high single digits with some clarity on the macro front? Just trying to get a sense for bigger picture, how you're thinking about the growth rate going forward. Yes.
Christopher T. Holmes: Yes, mid- to high is how we -- we continue to feel good about that going forward. Keep in mind, we got a lot of adjustments going on here with taking in Southern States. And for instance, their second quarter, their loan growth rate was approximately 10% on an annualized basis. Their deposit growth rate ex brokered was just a little high that approximately 12%. And so again, we're figuring that in. We're looking at our historical growth rate. We're trying to factor in on loans. We're looking at our pipelines. And so we do actually feel pretty good about that. And then as we go forward and we think about markets and economies, we think that's pretty good even moving past the next couple of quarters in terms of what we anticipate. That's the bar we've set for ourselves today. And frankly, we're pretty optimistic about that. I guess optimistic and confident about that. And then there are times when we hope for it to be even higher. There are some times when things get really slower, it could be lower, but we think we can do that, Russell, longer term. Even with the larger balance sheet.
Russell Elliott Teasdale Gunther: Okay. Yes. Understood. And then just last one for me. Anything to read into kind of putting capital to work with the securities transaction and a bit of buyback this quarter in terms of when -- or where the pace of M&A discussion stands for you guys and when we might see another transaction out of [indiscernible]
Christopher T. Holmes: No. I'd say not really. We -- if you look at our capital ratios, they're still strong. Our CET1 is still going to be 12% plus. And our TCE TA is, again, going to be really strong. And so we feel really good about where we sit moving forward if opportunities pop up for us.
Operator: The next question comes from Stephen Scouten with Piper Sandler.
Stephen Kendall Scouten: I guess I wanted to follow back around kind of on this M&A and potential upstream M&A activity discussion. And I'm just kind of curious if you have like a real preference to that end. Like you guys have managed expenses phenomenally well, but if it was team lift outs and other things from upstream activity, obviously, there would be an expense build. But just -- so kind of wondering how you're thinking about the balance of that versus through whole bank M&A and if you would have a preference and if there'd be any kind of limitations on how much activity, I guess, you would pursue if there was upstream M&A in your markets?
Christopher T. Holmes: Yes. So no preference. No preference. We take it as it comes, and we don't make those calls, so no preference there. But I would say this, whether it's part of the reason we're excited about it is whether it's the really largest banks, they're all in our markets. And so whether it's the really largest banks where there could be activity, whether it's the banks that are our peers that we -- or I'll say, the super regionals or our peers in the regional space, we just feel like we're probably in a great position for any of those. And then in terms of the magnitude, we think actually that could be -- the magnitude could be significant. I mean, when we think about our capital position and we look at -- and of course, when we think about an M&A transaction, we're generally going to be issuing shares with that. And so we think we have good capital for most of the things that would pop up. We think we have enough capital for that. And the one thing that should challenge that over time is we could get enough movement from those type of transactions that it does begin to -- in an ideal world where there's a lot of movement, that's where we think about how we spread the capital. And we would love to have that challenge. And we aren't sure if you roll the calendar forward for the next, let's say, 3, 4, 5 years, we again, that's where we think we have a lot of wind in our back. And that's where we got an earlier question about size of $20 million. That's where we think we're actually probably at an ideal size because we think we can run on our platform from $20 million for a long time in terms of asset -- I'm sorry, $20 billion. We think we can go for a long time and just continue to add and build scale and improve our return metrics. So that's how we're thinking about it.
Stephen Kendall Scouten: Yes. That makes a lot of sense. And then going kind of digging into the loan growth in the quarter, can you give any color around actual originations maybe versus previous quarters? Because there was obviously a higher provision related to unfunded, and I'm not sure if that had to do more with the CECL methodology change or if there was an uptick in unfunded loan production and just kind of if that is any part of the longer-term confidence that you guys have in growth?
Christopher T. Holmes: The production was really not different in terms of where it came from in product type. So it continues to be spread across the board. That's the reason for optimism is we're not reliant on any particular product type. So it's spread. We continue to not be overly reliant on loan production in CRE. So it's coming, I'd say, across the board. That's a piece of it, but it's not the it's not the piece. And in terms of the impact...
Michael M. Mettee: Yes, Stephen, the unfunded, yes, it was model change assumption updates. I mentioned home price appreciation and unemployment earlier. Those had impacts on kind of our draw assumptions, I would say, on HELOCs and C&I. If you were to see a slowdown in the economy, you have these unfunded lines that may increase and then turn into actually funded. And so there's a little bit larger reserve. But also it gets back to the methodology change and the granularity that we're able to really get at. So really improved methodology, and we're pretty excited about it.
Stephen Kendall Scouten: Got it. That's really helpful. And then just last point of clarity around the multifamily lending. I know you guys noted there were several large payoffs. What are you seeing in that space? And it's not a big part of your loan book, but what are you seeing in terms of new product demand in that space and where you think that book of business could go?
Travis K. Edmondson: Yes. This is Travis. We're still seeing quite a bit of demand, but nothing like we did 2, 3, 4 years ago. It seemed to have slowed down with a lot of new inventory coming in a lot of the markets in which we operate. But we have a handful of really -- in our view, really top-notch apartment operators that we continue to see new opportunities with that we will continue to grow with them. And that's the ones -- a couple of them are the ones that we did see payoffs and we fully expect to do another project with them as they see the opportunities arise.
Operator: The next question comes from Steve Moss with Raymond James.
Stephen M. Moss:
CGS International: All of my questions have been asked and answered.
Operator: [Operator Instructions] The next question comes from Christopher Marinac with Janney.
Christopher William Marinac: Chris and Michael, I wanted to ask about the growth in the unfunded commitments, particularly in C&I. Is that a good alternative angle to look at kind of new growth coming down the road and obviously, just the timing differences of what didn't hit the balance sheet this quarter?
Christopher T. Holmes: Yes. And Chris, we couldn't quite pick it up, but I think you were asking about the potential for growth going forward coming from our unfunded commitments on C&I. And that is a potential because we continue to be not at terribly high levels of funding there. If you look at where we are historically, we haven't, frankly, picked up that much going all the way back to post-COVID in terms of seeing those really on a utilization statistic, they haven't picked up that much. And so we do think that, that could be -- we're not heavily relying on it, but I think it -- again, when we if you pick up optimism, that's one of a dozen or more factors that we think this could help us going forward. It could be some tailwind for us going forward.
Michael M. Mettee: Yes, Chris, interesting, we actually had more line decreases than increases during the quarter, not new origination decreases, but just people paying down. We're in the mid-30s on line utilization. Pre-COVID, we'd have been upper 40s. So even going back 3 or 4 years, we're in the low to mid-40s. So yes, definitely opportunity there. We think about that when we think about our loan growth guides. And so there's certainly opportunity.
Christopher William Marinac: Great. And then just a quick follow-up on kind of logistics on sort of how you queued up the systems conversion that's pending. I'm just curious if that calendar is going to get more busy as you look beyond this transaction and other opportunities in the future. Is that a factor as you consider other M&A?
Christopher T. Holmes: Yes. It's always a factor. It's not a factor, but it's a factor. And that's why I made -- in the prepared comments, I made note that we would have that in Q3. And so we were doing that during the quarter. So by the end of the quarter, we'll be fully converted in Q3. And so that's -- those are important steps for us. And so we try to really think of those ahead of time. As a matter of fact, we typically have weekends planned out before we even have transactions sometimes because we would like to be prepared for that. And so we -- it is a factor. It's not the factor, but having that process go smoothly, efficiently and as quickly as possible is critical -- it's a critical component of the success of a transaction. And so I've also made reference to how the teams are really busy working towards that, particularly our operational teams, our administrative teams are really busy working towards that. And so that will be a continued -- as we go forward, it is not a limiting factor on us moving forward right now because we're able to get it done quickly with the strong teams that we have.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over for any closing remarks.
Christopher T. Holmes: Okay. Thank you all very much. We really appreciate the questions. We appreciate you joining us and hope everybody has a great earnings season. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.